Chris Eger: Thank you, and thank you for joining today's call. I'm joined today with Dave Jackson, our acting CFO. So, look, 2024 has been a very dynamic year with some very strong positives, but unfortunately, some very difficult challenges. Look, so, today, I want to walk you through key operating results for last year, expectations to 2025, but also give you some color on the situation in Mali and how we think about life moving forward. But however, before I continue, I just want to say a few words about Mali. In the last quarter, we had some very difficult situations, probably the most challenging the company has ever faced in its history. It's times like this that you truly understand the caliber of the people in the organization, and I am so very grateful to each and every one of our employees who have shown tremendous resilience, ensuring our operations have continued unaffected. Also, as noted in December, Terry Holohan has taken a leave of absence at this stage. This leave of absence ends at the end of this month, and we expect an announcement shortly thereafter on his situation. So, while the company has gone through a particularly difficult time, I firmly believe that after careful considerations, in-depth review of our operations, Resolute is significantly positioned to create value for all our shareholders. So, let's dive into the presentation. Moving to Slide 3, I wanted to recap what I view to be some of the very key investment heights of our business. So, let's now remember that we're an established producer with over 300,000 ounces of annual production in two existing mines and we have multiple jurisdictions in which we operate. We have a very high-quality portfolio of assets with substantial growth opportunities, and I'll go more into detail as to how we see growth for our business. We're spending money in exploration. We had some significant wins last year in both Senegal and in Guinea, and now we're obviously deploying into the Ivory Coast. Finally, irrespective of the challenges we had last year in Mali, we still ended the year with over $100 million of liquidity, substantial free cash flow generation, and we expect 2025 to have similar results from cash flow perspectives. What this means for us is we think that the stock is cheap, that we are a very attractive proposition for growth, and that we today have really interesting and, again, attractive valuation metrics across EV/EBITDA, P/NAV and cash flow yields. So, moving to the next slide, a few key points on our 2024 results, which again, we're really excited about. We had a fantastic year from our operations with stable operating assets and strong cash flow generation. Most importantly, across the board, our safety metrics were extremely strong. Our TRIFR was at 2.11, well below the industry averages. We unfortunately were slightly below the guidance at 340,000 ounces versus the 345,000 ounces to 365,000 ounces, but that was really due to a challenging year at Mako. But that being said, we are very pleased with the end result. Our all-in sustaining costs finished at $1,476, again slightly higher than our guidance. Again, this was due really to the changing royalty rates that we saw in Mali as a result of the new mining code. But with the higher gold price environment and stable operations generated $250 million of operating cash flows and EBITDA of $310 million, which is a substantial increase over 2024. So, what this means is that we generated strong cash from stable operations and we anticipate that to continue well into 2025. So, moving on to the specifics of each site, I wanted to explain in detail some of the wins that we believe we had in both operations, because we found them to be extremely stable throughout the year. So, moving to Slide 6, starting with Syama, first. When looking at the sulphide operation, you'll see that we produced 163,000 ounces of gold, slightly more than the previous year. But this was due to the fact that we had close to 97% time mill utilizations, we pushed through 2.4 million tonnes through the plant, grades were on average at about 2.6, with recoveries at 78%. And as you can see on the left side of the page, we consistently produced healthy amounts of gold every single quarter, and frankly, we anticipate that to continue into 2025. The sulphide operation, the plant are operating extremely well, and with exception of planned maintenance downtimes, we really don't see -- anticipate any issues in our sulphide operation. Moving to the oxide operation, we produced 53,000 ounces of gold, again slightly less than the previous year. And one thing to note, and as highlighted before, we are starting to run out of oxides at Syama, and that results in lower production with lower grades. And that's going to continue into the future. But again, we pushed through the mill 1.4 million tonnes, the average grade was about 1.25, and our recoveries were at 86%. So, when we look at Syama, we think that we had a very stable operations for the year that generated strong results with 260,000 ounces of gold. And we expect that, like I said, to continue to the future as we transition from being a sulphide/oxide operation to a completely sulphide operation. So, moving over to Page 7, look, I wanted to give a further update on our situation in Mali. To recap, in 2004, in November, we had a very difficult time with the government. Our CEO, Terry Holohan, and two other individuals were detained after having discussions with the government on a number of topics. At the end of the detainment, we signed a protocol with the government, which outlines the framework for future discussions. Under this protocol, we will be moving to the new mining code. We have made payments of $160 million to the government in order to settle prior claims, and we will be looking to further understand the impacts of the new code on our business. We hope that also with these payments and the settlement agreement, we are now paving the path forward for better cooperation with the government. We've tried very much since then to re-engage with the government on discussions around the new mining code. But one point that I wanted to make is that the government is still somewhat consumed with discussions with other mining companies, and so, we have not really engaged with the government as we would have liked. However, that being said, we have done quite a bit of analysis on the impact of the new mining code. And as you can see in the last bullet, we think that the impact of the code roughly represents around $250 increase to ASIC. And look, as we look to continue to engage with the government, we'll keep the shareholders updated on anything meaningful. We're being extra cautious at this stage, but we do see that there's a path to move ahead with our operations in Mali, and we are excited about the growth opportunities that presents itself. So, moving to Page 8, I wanted to give you another update as well on how the Syama sulphide conversion project is progressing. We're really excited about this project, and in 2024, we made significant achievements. The project remains on budget and on track as we sit here today. There's been no supply chain issues, and even with the problems we had in Mali in Q4, the project and the operations have not been affected. Some of the key activities in 2024 for the SSCP have been the fact that we've completed all key procurement. Most of the civil construction is completed, and a number of the major items have been delivered and are on site, for example, the flotation cells, the ball mills, and the crushers. Further in the presentation, I'll give you some expectations to what we're now doing on the SSCP, but as I said before, in 2024, we view the project to be very much a success at this stage. Moving to the next slide and talking a little bit about our Senegalese operations, we're also very happy about how they produced in 2024. The operation produced just about 125,000 ounces, and frankly, even though it had lower-than-expected ounces, the operations showed very strong results across the board. The mill was utilized close to 100%, and what really impacted the operation was two components. One, in Q3, we had heavy rains which flooded the main pit, and secondly, we had overestimated the grades for the final stages of the operations. We originally estimated grades to be around 2.2 grams per tonne, but in reality, they're coming in at 1.8 grams per tonne. So, the missing guidance was very much of the fact that we had lower grades, but the operations performed exceptionally well with the challenges that we had with the rains, and we expect that to continue into 2025. Moving on to our exploration activities on Page 10, 2024 was also about creating value across our portfolio of exploration assets. We spent considerable capital in all of our assets in order to create value, most notably in Senegal, which I'll go to in some detail. But first and foremost, we delivered a maiden resource in our Guinea asset in Mansala with over 340,000 ounces, and we think that is a very interesting deposit and we'll continue to explore it in due course. We also entered into a joint venture arrangement in Ivory Coast in Q4 by entering to the La Debo project, which we think is a fantastic area for growth for the business. Today, there's a maiden resource of around 400,000 ounces. That's 43-101 compliant, and we're starting drilling as we speak into 2025 to grow this deposit. We're very excited about the Ivory Coast, and I frankly view it to be one of our next jurisdictions to operate an asset. But moving on to specifically in Senegal to Page 11, as mentioned before, the Mako mine is coming to the end of its life with existing pit, and so, we're working very hard in developing satellite deposits in order to extend the life of Mako. We spent $4.5 million in 2024 for in-pit filling and drilling at the Tomboronkoto deposit. As you can see on the graph on Page 11, we think that there's well over 0.5 million ounces available to feed the plant at Mako. And again further into the presentation, I'll give you some context to what we're doing in 2025, but we view that 2024 was the right step in order to develop the extension of the Mako mine. So, with that, I will turn over to Dave to give a bit more specifics around the financial results for 2024.
Dave Jackson: Thank you, Chris. I will be walking you through the key financial results of the year, which we are very excited to share with you. You can see there are a lot of numbers up on the page, but I would like to go through the notable figures for the year. We ended the year with 336,000 ounces of gold sold. This was slightly below the 340,000 ounces produced due to the timing of gold sales at the end of the month. These were all sold in the beginning of January. As Chris mentioned, we landed slightly below our guidance on production due to the lower production to Mako for the year which was partially offset by strong performance at Syama. On the cost side, we ended the year with all-in sustaining cost of $1,476 per ounce. This is a slight increase from 2023 and above the group's all-in sustaining cost guidance. The cost increase, as explained by Chris earlier, is mainly due to the increased royalty rates in Mali which accounts for approximately $50 an ounce at a group level. Shifting focus from all-in sustaining costs, I'd like to highlight the graph on the bottom right of the presentation, which illustrates our three-year trajectory for EBITDA and revenue. This is a trend we are extremely pleased with. Over the past three years, and especially in 2024, we have significantly improved our EBITDA margin. With revenue rising by 27% from 2023, our EBITDA has nearly doubled to $311 million for the full year 2024. The increase in EBITDA can be attributed to several factors. The primary driver was the improvement in the realized gold price for the year. Additionally, it reflects the positive impact of the end of our hedging program in Q1 with all sales from Q2 onwards made at the spot price. Finally, it highlights our success in managing costs effectively in the current inflationary environment. Overall, we are excited about the group's financial results at this stage. Our full-year audited financials will be released in March, but I'd like to spend some more time to get into the detail of our outstanding cash flow result, which is presented on the next slide. Coming to the waterfall chart, you can see we generated approximately $250 million of operating cash flow in the business. This marks a significant increase over 2023, where we generated $140 million over the same period. The increase in operating cash flow is mainly attributed to the favorable gold price environment. However, there has also been notable progress across the business with our cost-reduction efforts, a strong focus on cost saving initiatives, and strategies remains in place with the goal of further enhancing our operating cash flow in the future. So, now, I would like to run you through some of the detail in getting to our ending cash and bullion position of $101 million at year-end. Our CapEx spend, inclusive of $20 million of exploration was $117 million for the year. The CapEx spend was around $10 million below guidance, but as we mentioned last quarter, this was expected and is due to the deferral of capital associated with the SSCP to 2025. Working capital was a $37 million inflow for the year. This is a great outcome and the result of a lot of hard work by our team as we continue to drive cash flow generation. The cash inflow was primarily due to initiatives focused around reducing consumable balances at Syama and Mako. We've had a lot of success and have realized $10 million to $15 million of cash savings. We were also successful with working with vendors on extending payment terms, giving us more access to cash in the near term. On the flip side of the positive working capital outcome, I do need to point out that we are seeing increased tax leakage across our operations in both Mali and Senegal. This is coming in the form of delays in getting our VAT refunded, which is building up on the balance sheet, as well as an increase in tax audits in both countries which could result in future cash outflows. Moving on, you will see that we have the final $25 million payment of the term loan facility which was made in the first quarter of 2024 and left the business with no outstanding debt on the financing side. Continuing on with our cash flow, you will see the balance is rounded up with a cash inflow of $34 million received from the sale of the Ravenswood mine and the $160 million settlement payments in Mali. In summary, you can see the business generated around $15 million of positive cash flow for the year. This leaves us in a strong net cash position of $66 million at year-end. Given the situation in Mali, I would also like to highlight that the previously announced senior debt facility is no longer fit for purpose. The primary purpose of this facility was to provide increased flexibility for growth opportunities. However, we've managed to maintain that flexibility by boosting the liquidity available to the group through successfully securing increased overdraft facilities in Mali, raising our available liquidity to over $100 million. This positions us exceptionally well to pursue both organic and inorganic growth opportunities, which we are very excited about. With that, I will hand it back to Chris to walk you through the 2025 guidance.
Chris Eger: Thank you, Dave. And now, moving over to the guidance for 2025, let's first start with Syama. So, when you look on Page 16, you can see that we're guiding Syama to produce between 195,000 ounces to 210,000 ounces at an ASIC of $1,700 to $1,800. Obviously, this is being impacted by the new mining code, which we think has an impact to overall cost of around $250 million. But let me give you some context to how we came about these numbers because as you'll have seen in our press release, that we've also revised the guidance on the start of the SSCP from 2025 into 2026. So, look, as we were going through the challenges in Q4, we made a strong effort to focus on cash flow generation for 2025 and beyond, and one of the things that we saw is that we actually have quite a bit of oxides that still remain at Syama and it makes a lot more sense to complete the processing of the oxides in existing plant before we switch on the sulphide operations. So, the focus was to really be on generating maximum amount of cash, and, therefore, it made sense, like I said, to deplete the oxides this year and into the beginning of next year and then only turn on the SSCP once the oxides were mostly depleted, which we anticipate to happen in Q1 of 2026. So that was probably the biggest shift. Thereafter, another sort of point to highlight is that the sulphides are effectively replacing the oxides. So, as we look into the near future, we anticipate that production will be around the same levels at around the same levels of cost. In probably three to four years as we start to get into higher zones -- sorry, higher grade zones of Syama north, we anticipate possibly the production profile to increase. But what people need to remember is that those high-grade zones come with very high strip ratios, and so cash flow wise may not be the most economical for the business. So, there are other opportunities for us to review when we look at Syama and we are doing that work. But at this stage, we think the best thing to do is to, like I said, complete the oxide processing, focus on sulphide conversion next year, and maximize cash flow in the near term. Just to give some context to the CapEx numbers in the bottom right of the page, on the non-sustaining CapEx, around $30 million of that money is from the SSCP with the remainder being we have a TSF lift in 2025, which is obviously adding quite a bit of cost to the CapEx numbers. In the sustaining numbers between $40 million and $45 million, roughly $25 million of that is waste stripping, with the remainder being fleet upgrades, replacements, and things along that nature. So, we do envision the capital expenditures at Syama to continue to be robust not only for this year but as well next year. Moving to the next slide, on Page 17, wanted to give you a bit more context to what's happening with the SSCP in 2025. As I explained in the previous slides, we have re-forecasted and reworked our models and it made a lot more sense for us to change the completion date of the SSCP from July 2025 to H1 2026. So, we've slowed down the works in order to push as much spend into next year as possible so that we can start the ramp-up of the SSCP in H1 of 2025. So, this year, what we're planning on completing will be obviously the implementation of the CCIL tanks. We're also looking to have the re-crusher circuit completed mid-year. We're also looking to start works on the flotation cells. But the significant, what I call construction and erection work of the ball mill will start in January of next year. So, we're trying to do as much as we can to keep the project on schedule for startup next year, but as we see it today, we stay very much on track from a budget perspective. We just need to work with our contractors in reworking the schedule so that we delay the start into next year and that has an effect of being able to maximize cash flows in 2025, which is a lot -- makes a lot more sense than it did in the past. Moving to Page 18, and we're looking at Mako. 2025 is very much a transition year for Mako. I think as previously discussed, Mako is coming to its end of its life with the existing ore body. So, we're looking to complete mining of the existing ore body by June before the rainy season, and, thereafter, we'll be processing stockpiles. So that's why the production is around 80,000 ounces to 90,000 ounces, down from 125,000 this year, but [at an attractive] (ph) ASIC of $1,300 to $1,400. Like I said, we're looking to complete mining by June and then we'll be in stockpile from there until the end of 2027. For context, once we're into the stockpiles, we'll be processing stockpiles around a grade of 0.9 because we won't be mining obviously, we think that we're going to be still creating quite a lot of cash, around $100 million per year. But we're obviously focused on extending the life of Mako through Tombo or possibly Bantaco. So again, this is a business that's transforming from mining to now processing stockpiles, and the teams are very well ready for this and equipped and we're working with the communities also in reducing the workforce to be a much more efficient operation under this new operating profile. With regards to exploration, and moving on to the next page, look again, we're really excited about what we're doing on exploration. We see huge value opportunities across the company. We have had to kind of pick and choose where we're going to spend our money. And the focus for 2025 is really in two jurisdictions, being Ivory Coast and Senegal. In Senegal, we will be less around drilling in the sense that at Tombo, we've drilled out the deposit quite well, so we know that we have a lot of gold that we can put through the plant. What we need to do at Tombo is to continue to work with the government in getting approvals to move the village and to get the studies in order to do so. So, Tombo is much more about creating studies and creating environmental impact studies and working with the government on displacement of the village, but I'll walk through the timeline in the next slide. Really, where the focus, like I said, on exploration is going to be in Senegal. We'll be drilling at Bantaco. We think there's gold in that part of the world, but we need to obviously do a proper drill campaign and we'll come back to you in due course if we believe there's a mine at Bantaco that could complement Tombo. And then, the other area of excitement is in Ivory Coast. We plan to spend at least $3 million in Ivory Coast at the La Debo project because we feel that that's an area that is really interesting and we can deliver a mine in the coming years and we definitely want to be in Ivory Coast in the future. But let me talk to you a bit more specifics on Tomboronkoto by moving on to the next slide. So, moving to the next slide, I wanted to give you some more details on the plan with Tombo. Tombo project is not cheap, with at least a cost between $80 million to $100 million because of the movement of the village as well as the displacement of a national road. So, there's a lot of work that needs to be done in order to get this satellite deposit into production. There's a number of studies that need to be completed, and we've commenced those, and we're well underway in completing those studies, including a PFS, which are all needed to convince the government moving of the village. So, one of the things that we've done is obviously been acting with the government and trying to get them engaged in understanding the impact of losing the Mako mine. But with the dynamic situation in Senegal with a new government that was put into place in 2024, we are running up against a few walls. So, look, below is, I would say, an ambitious timeline that we've put together on Tombo, from the development of the studies, the movement of the village, and obviously to processing of ore at Tombo at the Mako mine. I would say this is an ambitious timeline. There's a number of steps that need to occur, but we're very much putting on a full-court press on trying to make this happen because we recognize that by the end of December 27th, we will be running out of stockpiles and we'll have to find a solution for Mako. So, moving to Page 21 and looking at the total group guidance for the business. So, with all these moving parts, what does it mean for us? So, for 2025, we see total production between 275,000 ounces and 300,000 ounces of gold at an ASIC of $1,650 to $1,750. That ASIC is an all-in ASIC, which incorporates corporate and exploration expenses. Even with an increasing ASIC number as a result of the new code in Mali, we expect to still generate substantial free cash flow, well over $100 million at today's gold price. So look, we're really excited about rebuilding the business and generating a healthy cash balance at the end of this year in order to continue to explore growth opportunities across the company. 2025 exploration is going to be very much focused on growth with regards to the studies at Tombo, quite a bit of drilling at Bantaco to understand what we have in Senegal, and finally, to continue advancements at the La Debo project in Ivory Coast, as explained on the previous slides. So, look, in conclusion when moving to the final slide, why are we excited about our business? Like I said at the very beginning, we are a multi-asset producer with a strong track record of growth. We're well-established in West Africa. We have lots of ounces in the ground. Like I said, 10 million ounces over in Syama, we have a very strong balance sheet with a compelling net cash position. We have a substantial number of growth opportunities. We view that we are rebuilding the relationship with Mali, but we're being extra diligent to how the overall politics in West Africa evolve. And ultimately, when we look at where our share price is and our valuation metrics, we think that we can create substantial value for our shareholders as we move into the future. So with that, I'll turn over to the operator for questions, please.
Operator: Thank you. [Operator Instructions] And up first, we have Andrew Bowler from Macquarie. Please go ahead. Mr. Bowler, your line is open. Please ensure you're not muted locally.
Andrew Bowler: Yes, copy that. Sorry, I was on mute. Good day, all. Just a couple of tax questions from me. First of all, the first part, I guess, is a simple one. How much cash tax did you pay over second half of '24? It doesn't seem like it was a lot. And second of all, you're talking about VAT receivable and a bit of leakage coming out of the business from now on. I take that to mean that you're no longer going to be able to offset your corporate tax payables against the VAT receivables like you've done in the past. And I assume that's a step change following the settlement payment with the government.
Chris Eger: Hi, Andrew, it's Chris here. Good to talk to you. Look, maybe I'll start just on the VAT and then I'll ask Dave to just respond to you on tax payments for H2. Look, on VAT, the receivable balances are still being calculated and we hope and we anticipate they will come back. We think there's a strong probability of that happening in Senegal, but we have seen delays. We did get some VAT refunds last year but on a delayed basis. So, I wouldn't say that moving forward we should anticipate no offsets. I just think that this needs to be modeled, but there will be a delay. In Mali, it's a bit trickier. We haven't received VAT refund for some time. They are still being calculated and being put on the balance sheet as owed, but the timing of when we will have those VAT sort of used for offsets is really at anybody's guess. Under law, we're owed them back, but obviously, we need to continue to work with the government in getting those back to us. So, look, I wouldn't say they're gone, but obviously more difficult to get. Dave?
Andrew Bowler: So, the net result -- sorry, the net result would be obviously an acceleration in tax payments to a more normalized corporate rate in FY '25 and beyond -- calendar year '25 and beyond?
Chris Eger: Exactly, yes, that's correct.
Andrew Bowler: Cool. And then just to clarify on those second half cash tax payments, it doesn't seem like that very big for calendar year '24.
Dave Jackson: Sorry, Andrew, can you repeat the last part of your question, please?
Andrew Bowler: Just the cash tax payments for the second half of calendar year '24, it doesn't seem like they were that meaningful. Just to get an idea of the sort of step change.
Dave Jackson: It was around $10 million for H2.
Andrew Bowler: Okay. Thanks very much. That's all from me.
Chris Eger: Thanks, Andrew.
Operator: Thank you. And we're now moving to a question from Reg Spencer from Canaccord. Please go ahead. Your line is open.
Reg Spencer: Thank you. Can you guys hear me?
Chris Eger: Yeah.
Reg Spencer: Okay, great. I've got a few questions, so if this gets laborious, I can pack it and take some of them offline. So, I might just punch through these if I can. The new structure with the government interest at Syama, the preference shares, am I correct in assuming that that means they get a dividend prior to any [inter-co] (ph) loan repayments that may be in place? And for modelling purposes, should we assume that those -- any dividends from profits of the operation go out on a quarterly or a half yearly basis?
Chris Eger: Hi, Reg. So, look, not necessarily. The way that it works from what we understand is that it's an annual payment, but what the pref share allows for is that it's basically a firm calculation on the net income of the business at the end of the year. So, say, we generated $50 million. They would get 20% of that $50 million net income. That's what the intent of the preference share is. So, it's less about true cash flow generation, but what's reported on the net income of the income statement for the Syama asset, if that makes sense.
Reg Spencer: It does indeed. Thanks. And just to clarify, so any payments would be made on a lag basis or in the following year?
Chris Eger: No, you can make inter-company debt payments throughout the year. It has no impact to what I would call the dividend calculation. So, they're somewhat separate, right? So, the dividend calculation again is based just on what's being shown on the income statement. And then, you can move cash around the business as when we're doing on a normal basis.
Reg Spencer: Okay, great. Thank you. Next one, the local development fund contributions, that wasn't in some of the original press releases you guys put out late last year. But the 3.75% that's levied against revenue, could this be seen as a royalty with a different [indiscernible] on? And just to clarify, is that development fund contribution included in that $250 increase, almost the same cost that you flagged?
Chris Eger: So, Reg, the answer to the second part is, yes. So, it's in that number. It is meant to be truly a fund for community growth, but we haven't received the specifics on how that fund works. What that means is, who we pay to, how it's monitored. There's supposed to be a committee that's in place to help monitor the spend of that fund. Those are all aspects and details that we haven't received any information on. So, we have not started to make payments towards that fund, but we anticipate ourselves, and frankly, all of the mining companies will have to do this at some stage, because it's in the new mining code.
Reg Spencer: Got it. That probably is a good segway into my next question. When does this, the application of the new code become effective, Chris? Does it kick in January 1, or is there a period -- that sounds like, especially with the development fund contributions, that there's some aspects of it that remain to be ironed out?
Chris Eger: No, Reg, that's absolutely correct. So, if you know from the previous press releases, we signed the protocol, I think it was November 20th or 18th, thereabouts, and we had a three-month window to work with the government to implement the new mining code and have all the details worked out, and that's coming up in February, probably mid-February. We've been trying to get in front of the government to further those discussions, but because of their activities with other mining operators in Mali, they have told us to wait until they complete their discussions with others and then we're next in line. So, we're ready to engage with them, but I have a feeling that the actual implementation of the new mining code and understanding certain aspects of the new mining code is going to get delayed beyond February, but I really have no idea what the right date is.
Reg Spencer: Okey-dokey. I think that's probably it for me. I've got a couple of other little minor ones, but I might just shoot you an email offline. Thanks, Chris. Appreciate it.
Chris Eger: No, problem. Thanks, Reg.
Operator: Thank you. And up next, we have Justin Chan from SCP Resource Finance. Please go ahead.
Justin Chan: Hi, guys. Thanks very much for hosting the call and taking questions. My first one is just on, I'm just looking at the cash flow waterfall slide and I think just comparing this one to Q3, I see the $160 million Mali settlement, but I guess the previous bar that would have been equivalent was there was a government dividend bar of $17.6 million and there's no kind of equivalent bar. So I'm just for the modeling, is that $160 million settlement net of the $17.6 million in dividends you already paid, or was it just for presentation you just got rid of that government dividend bar? Just trying to...
Chris Eger: No, Justin, maybe I'll take this one. Look, for presentation purposes, we put that $17 million effectively in the operating cash flows, because what it relates to is withholding taxes on dividends that we pay to the governments as part of their ownership. So, it's effectively a tax payment. So, we put all the tax payments under operating cash flows. And considering the size of the Mali settlement, we just wanted to move things around to try and keep it simplified. But yeah, that's how to think about it.
Justin Chan: Okay. No, that's fine. Yeah, I was just making sure I wasn't supposed to net or et cetera, based on that. Okay, thanks. That's helpful on that side of things. And then, just for the -- at Mako, for your mining in the first half, I see the ounce guidance, that 1.8-gram number that you mentioned, is that what you expect for the remnant, what you're mining for the remainder of Mako or -- yeah, can you give guidance on what you're expecting?
Chris Eger: Yeah. Look, from the ore body, it's around 1.8 grams per tonne. So, for mining through, call it, June of this year, that's what we expect. And then, it's going to drop off slowly to 0.9 grams per tonne, which is effectively the average grades of the stockpiles that we have remaining until 2027.
Justin Chan: Right. In terms of head grade from H1, is the majority of the ore coming from the ore body, i.e., your head grade is 1.8 or is it somewhat lower?
Chris Eger: No, that's correct. From the ore body.
Justin Chan: Okay. Got you. Thanks. I think those are -- yeah, maybe just the last one. In terms of the fuel surcharge in the future and just how to think of it, does that $10 million to $15 million a year that's, I guess, present -- that's at present fuel levels, will that move dynamically with oil prices?
Chris Eger: No, not really. It's pretty consistent. Based off our existing operations, the number will have a bigger impact in the future once we're operating the SSCP. And another way to put it, once we're fully a certified operation, because we're going to be utilizing more power, but it's going to be around that $15 million impact from what it was in the past. And what it means is, in the past, we had fuel always carried an extra duty that was exonerated. Now, we've lost that exoneration. Therefore, we have to pay additional taxes related to fuel.
Justin Chan: Okay, great. Thanks, Chris. I'll free up the line. Thanks very much for taking my questions.
Chris Eger: Thanks, Justin. Appreciate it.
Operator: Thank you. [Operator Instructions] And up next, we have Cody Hayden from Berenberg. Please go ahead.
Cody Hayden: Good morning, Chris, Dave, and thanks for taking my question. Just one from me. At Syyama, I was hoping you could help unpack the $250 an ounce additional. I know we kind of previously, it was brought up on the development fund contributions, but I was hoping you could just kind of unpack that for me and how you kind of came to that number just for a better understanding, please?
Chris Eger: Sure, Cody. Look, it's simple. It's really three elements. The first one is about $100 due to the higher royalty rates. We went from effectively 6% up to 10%, 10.5%. So, that's 4% on, obviously $800 million or so. And then, there's another 4%, it comes from the foundation payments. So, that's another $100. So, you have $100 on ASIC from royalties, $100 from the foundation payments, and then the remaining $50-odd comes from the fuel exoneration that we lost. There's other small bits and pieces. For example, we need to utilize a lot more local contractors and there's local content rules that will possibly impact the operations from fewer suppliers. So, we are seeing a slight increase in what I call operating costs from some of these shifts, but the big items are the three that I just mentioned.
Cody Hayden: Great, that's extremely helpful. Thanks, guys.
Operator: Thank you. As there are currently no further questions over the conference call, I'd like to hand the call over for questions via the webcast.
Unidentified Company Representative: Hi there. Will you look to pay down trade payables over H1 2025 that you mentioned built up over H2 2024?
Chris Eger: Look, I think when we look at AP and speaking towards some of the initiatives that Dave talked about on working capital, we're very much targeting and call it an industry standard of accounts payables of 60 days. So, we're happy to have accounts payables built to those levels, but we also don't want to create any sort of mountain of payables beyond 60 days. So, that's the target is to keep it at 60 days.
Unidentified Company Representative: Great. There are no further questions on the webcast. I'd like to hand back to the room for closing remarks.
Chris Eger: Great, thank you. So look, as we went through the presentations, there's a lot going on in the business, both at the end of '24 and in '25, I think. Look, as I mentioned, the operations are now very stable. We are working with the governments to call and clarify certain aspects of our business for the future. But like I said, we're extremely encouraged and excited about what we see '25 and we think it's going to be a strong year. So, thank you very much for the time, and we'll look forward to the next one. Cheers.